Operator:
Osamu Fujikawa: Thank you for joining us today. Let's go through our financial results for Q1 FY ending March 2025. The contents are shown here: the results for Q1 FY ending March 2025. Please note that as we have announced in our July 23rd press release, the segment results now include the corporate expense allocations, which previously came under adjustments. Page 4: Summary of Q1 FY ending March 2025. Revenue was JPY690.3 billion. Year-on-year decrease of 2.3% is attributable to the deconsolidation of JAE, Japan Aviation Electronics Industry. Adjusted operating profit was JPY12.7 billion, an increase of JPY12.2 billion from the previous year. Non-GAAP operating profit, which measures the performance of the core business was JPY16.3 billion, an increase of JPY15.7 billion year-on-year. Non-GAAP net profit was JPY10.5 billion, an increase of JPY11.9 billion from the previous year. Please refer to Pages 20 and 21 of the appendix for the reconciliation of GAAP profit to non-GAAP profit. The details by segment will be explained later, but both IT Services and Social Infrastructure posted increase in both revenue and profit. In Others, both revenue and profit declined. This is due to the deconsolidation of JAE. Page 5 shows the factors contributing to the changes in adjusted and non-GAAP operating profit. Adjusted operating profit for FY ending March 2024 was JPY0.5 billion and non-GAAP operating profit was JPY0.6 billion. Starting from these figures, we have improved operations by JPY6 billion in IT Services, JPY10.4 billion in Social Infrastructure and JPY0.8 billion in Others, a total JPY17.2 billion improvement in marginal profit and profitability. The deconsolidation of JAE resulted in a negative impact of JPY1.5 billion and bringing non-GAAP operating profit to JPY16.3 billion in Q1 of FY ending March 2025. Non-GAAP adjustment items totaled JPY3.6 billion, which mainly consist of structural reform expenses. Approximately, JPY1.5 billion of structural reform expenses is attributable to the cost of terminating services conducted with the service partner in the domestic IT cross-industry subsegment. The remaining JPY2 billion was incurred in relationship to KMD of International IT Services, in other words, DGDF Business. The net result of the adjusted operating profit was JPY12.7 billion. From Page 6, by segment information. First, IT Services. Revenue increased for both domestic IT and international. Adjusted operating profit in Japan deteriorated by JPY700 million due to one-time expenses. This was due to the recording of structural reform expenses as explained on Slide 5. In addition, a change in the subsidiary company's compensation scheme led to an increase in one-time expenses in Q1, which will level out over the full year. Overseas adjusted operating profit increased due to higher revenue and improved profitability at Avaloq. We believe that the measures we have been taking to improve profitability are steadily progressing and showing positive results. Page 7 shows the booking trend of domestic IT Services. Overall, domestic IT Services booking increased 13% year-on-year. Excluding NEC Facilities Limited, which is subject to high volatility, booking increased 15%, reflecting the momentum of robust demand. By sector, public was up 32%, a significant increase brought about by large projects and an increase in municipal government's platform commonization projects. Even excluding the large projects, public grew by more than 10%. Enterprise grew 2%. By industry, finance declined 7%, but excluding the large projects of the previous year, it maintained a double-digit growth, maintaining its strong momentum. Manufacturing increased 13%, given a hike in DX-related projects. Retail and service rose 10% due in part to the acquisition of large projects. In others, ABeam Consulting continued to maintain its robust momentum, posting an increase of 19%. As described, booking is trending favorably and we are steadily building up projects to achieve our annual goal. On Page 8, I'll talk about Social Infrastructure. The revenue of telecom service has declined due to the deconsolidation of wireless backhaul and also the global 5G revenue decline. Adjusted operating profit have been significantly improved due to the making expenses, efficient of the development expenses and [result] (ph) shifting. In ANS, aerospace and national security, we have executed the obtained projects in a steady manner that, therefore, has increased revenues and profits. Next, I'll talk about FY ending March 2025 forecast. On Page 10, this is the financial forecast of FY ending March 2025. We have -- there's no change from the numbers that we have announced in April 26. On Page 11, this is the information in regards to the per each segment. The corporate-wide expenses, which have been accounted in the adjustment, has been allocated to each segment, so we will show the revenue and adjusted operating profit. On Page 12, entire IT Service and domestic, international DGDF, and each numbers are shown here. On Page 13, entire Social Infrastructure, telecom service, ANS, these numbers are shown here. Lastly, I'll talk about some topics. In May, we have started -- we launched BluStellar, a value-creation model that will lead our customers into the future. We will strengthen our existing DX initiatives and accelerate our customers' business transformation to create a new value. A feature of BluStellar is that it uses AI, artificial intelligence, in all processes, from concept formulation to service delivery, operation and maintenance, evolving from the traditional SI business and maximizing customer value. We also position AI technology, which brings together cutting-edge technologies and realize business process transformation and security, which is essential for the operation of safe and secure social infrastructure as key technologies. In addition, we will strengthen and expand our business through strategic collaboration and global hyperscalers and co-creation with approximately 400 partners, such as Co-Creation Partner programs. In terms of human resources, we will not only develop in-house human resources but also promote the penetration of digitalization by providing DX Human Resources Development programs to approximately 420 companies and more than 30,000 individuals. In this way, we will realize our customers' business transformation by evolving business models, technologies, organizations and human resources. Page 16 introduces BluStellar's initiatives. Specific examples include a demonstration project with Toray Engineering, which aims to utilize generative AI in the manufacturing industry and a strategic partnership with SoftBank, which focuses on the biometric authentication field. In addition, the company will introduce digital employee ID cards to its 20,000 employees as client zero, with the company as its zeroth client. In addition, we promote -- a promotion structure, a new organization of about 200 people, will be launched in August that will consolidate business and product development functions related to generative AI. NEC will position BluStellar as a growth engine to achieve its 2025 Mid-term Management Plan and further accelerate its DX business. Finally, on Page 17, here's the information about future meetings. First, IR Day. This is an event for those in the capital market, and the sixth time it will be held on October 7th. In addition to the Heads of each business area, the responsible person of each business domain, they will explain their efforts to achieve the Mid-term Management Plan 2025. We are planning a session by external directors, which was highly requested by the capital market. We will also hold NEC Innovation Day. This event is aimed at media and IT analysts and the capital market people and will be held on November 27th this year. Details of schedules, programs and participation method will be announced later, and I hope that you will participate in these events. That's all the explanations. Thank you very much for listening.